Operator: Good day, ladies and gentlemen, and welcome to eBay's Third Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Tom Hudson, Vice President of Investor Relations. Sir, you may begin.
Tom Hudson: Good afternoon. Thank you for joining us, and welcome to eBay's Earnings Release Conference Call for the Third Quarter of 2012. Joining me today on the call are John Donahoe, our President and Chief Executive Officer; and Bob Swan, our Chief Financial Officer. We're providing a slide presentation to accompany Bob's commentary during the call. All growth rates mentioned in John and Bob's prepared remarks represent year-over-year comparisons unless they clarify otherwise. This conference call is also being broadcast on the Internet, and both the presentation and call are available through the IR section of eBay's website at https://investor.ebayinc.com. In addition, an archive of the webcast will be accessible for 90 days through the same link. Before we begin, I'd like to remind you that during the course of the conference call, we'll discuss some non-GAAP measures in talking about our company's performance. You can find a reconciliation of those measures to the nearest comparable GAAP measure in the slide presentation accompanying the call. In addition, management will make forward-looking statements relating to our future performance that are based on current expectations, forecasts, assumptions and involve risks and uncertainties. These statements include, but are not limited to, statements regarding expected financial results for the fourth quarter and for the full year 2012 and future growth in Payments, Marketplaces and GSI businesses, mobile payments and mobile commerce. Our actual results may differ materially from those discussed in the call for a variety of reasons, including, but not limited to: changes in political, business and economic conditions; foreign exchange fluctuations; our need to successfully react to the increasing importance of mobile payments in commerce and increasingly social aspect of commerce; an increasingly competitive environment for our businesses; the complexities of managing an increasingly large enterprise with a broad range of businesses at different stages of maturity; our need to manage regulatory, tax and litigation risks, including risks specific to PayPal and Bill Me Later; our ability to integrate, manage and grow businesses recently acquired or that may be acquired in the future; our need to timely upgrade and develop our systems, infrastructure and customer service capabilities at reasonable costs while maintaining site stability and performance; and adding new products and features. You may find more information about the factors that could affect our operating results in our most recent annual report on our Form 10-K and our subsequent quarterly reports on Form 10-Q available at https://investor.ebayinc.com. You should not rely on any forward-looking statements. All information in this presentation is as of October 17, 2012, and we do not intend and undertake no duty to update this information. With that, let me turn the call over to John.
John J. Donahoe: Thanks, Tom, and good afternoon, everyone, and welcome to our Q3 earnings call. We had a great quarter with strong momentum across the company. Our third quarter revenue was up 15%, and non-GAAP EPS was up 14%. With our focus on enabling commerce, we've set bold goals for ourselves in our 3-year growth plan, and we're delivering. I want to start out by briefly touching on 4 areas that are helping to generate momentum and create broader opportunities for our company. First, mobile continues to be a game changer, and we continue to be a clear leader in mobile commerce and mobile payments. Our mobile experiences are changing the way people shop and pay. Mobile is more deeply engaging our existing customers and attracting new ones. And now, we're focused on using mobile technology to drive innovative multichannel commerce experiences for local and national retailers. Second, we're capitalizing on our global reach. Our platforms enable us to connect buyers and sellers anywhere in the world, and our core international businesses are strong. We have significant global presence, but we're only beginning to scratch the surface in emerging markets such as Brazil and Russia, which offer substantial long-term growth opportunities. Third, we're investing in our brands. Our new eBay logo and site enhancements, as well as our recently updated PayPal look and feel, create a fresh, contemporary user experience for these businesses. We're investing in marketing in both eBay and PayPal, which this week launched its first integrated consumer marketing campaign online. And last, we're leveraging our portfolio. In addition to growing our core businesses, we're also driving multichannel commerce innovation. We're focused on better integrating our technology capabilities to deliver innovative solutions for our consumers and retailers. And we're creating new long-term growth opportunities by extending our capabilities offline. So in summary, we are enabling the future of commerce. We're making shopping simpler and easier for consumers anywhere, any time. And we're focused on being a partner, not a competitor, to retailers of all sizes. I'm pleased with our strong consistent performance against our goals and vision. Technology is changing how people shop and pay and how retailers and brands compete. And each quarter demonstrates our commitment, our capabilities, our execution and the expanding opportunities we have to capitalize on these trends. Now let's take a look at the quarter, starting with PayPal. PayPal had another strong quarter, continuing to increase merchant coverage and share of checkout. Merchant Services TPV grew 26%, and TPV on eBay grew 18%, both on a FX-neutral basis. And PayPal now has more than 117 million active accounts globally, with active account growth accelerating 1% in the quarter. PayPal's global reach is a competitive advantage. For the fourth consecutive quarter, more than half of PayPal's revenue came from outside the U.S. And PayPal Mobile also continued its strong momentum in Q3, and we expect to do over $10 billion of mobile payments volume in 2012. Consumers are choosing PayPal Mobile because it offers a unique, easy and safe way to pay on a mobile device. And merchants are finding that putting PayPal on their mobile experiences drives higher checkout conversion and higher sales. In fact, according to a commissioned study completed in July, 35% of all mobile sales completed with PayPal Mobile Express Checkout were incremental. So PayPal intends to be everywhere consumers need an easy, safe, secure way to pay: online, from your phone, at your favorite neighborhood store and at major retailers. We've said that 2012 is a test-and-learn year for PayPal offline, and we feel good about what we've accomplished thus far. 10 major U.S. retailers now have PayPal live in store at more than 7,000 locations. And we expect to have 20 major retailers signed up for PayPal's point-of-sale solution by year end. And in Q3, we announced our partnership with Discover, which will provide PayPal with access to more than 7 million merchant locations in the U.S. beginning next spring. Our small business product, PayPal Here, is available in 5 markets. General availability in the U.S. now includes retail distribution at AT&T stores nationwide. Finally, PayPal is working to accelerate innovation by simplifying its product organization and creating more agile development teams. 9 different product teams are being combined into one global product organization. We believe this simpler, more streamlined approach will help PayPal consistently deliver great product experiences for consumers at a faster pace. And now let's turn to Marketplaces. eBay had another great quarter. This is a revitalized business with strong momentum globally and a focus on the future. Excluding vehicles, U.S. GMV growth accelerated 2 points to 16%, and international GMV was up 15% on an FX-neutral basis. And the number of active users on eBay was up a strong 10% for the quarter, the fastest year-over-year growth since 2007. The new eBay is here. And as many of you saw, last week we introduced our fresh new logo and began to roll out a series of significant product enhancements. The new eBay delivers a cleaner, more contemporary and consistent shopping experience. And with innovative new features such as the eBay Feed, we're beginning to use our data to provide a more personalized, curated shopping experience. Better product experiences, a sharper customer focus, improved trust and enhanced value and selection are paying off. New buyers are coming to eBay, and they like what they're finding. And we've listen to our buyers and have recently raised the standards for our sellers to achieve the top-rated seller status. These sellers must now provide 1-day handling and 14-day returns. And sellers who met these stricter top seller standards accounted for 36% of U.S. volume in Q3. And these sellers grew their same-store sales 24% year-over-year. Mobile continues to show great traction at eBay. In Q3, more than 800,000 new users made their first eBay Mobile purchase on a mobile device. Downloads of eBay Mobile apps topped 100 million, and the number of items listed on eBay via Mobile also surpassed the 100 million milestone during the quarter. Sellers are now listing almost 2 million items per week from their smartphones. And Mobile's not only helping to drive momentum on eBay, but we also believe it's a powerful tool to enable multichannel commerce. For example, in September, we launched a new version of RedLaser. This new version includes local shopping features that offer unique in-store experiences as well as additional in/out, checkout and payment features. Best Buy is the first major retailer to partner with RedLaser to offer a geo-fenced in-store experience, providing shoppers customized content, local pricing and special discounts while they're in the store or outside. This is a great example of how mobile technology can be used to enhance local retail shopping experiences, not simply disrupt them. Another example is eBay Now, a pilot we launched in August in San Francisco. Using our eBay Now mobile app, which is now available in the iTunes App Store, customers in San Francisco can purchase products on their phones from hundreds of local stores, including major retailers such as Target, Walgreens and Macy's, and then have these items delivered anywhere in the city, usually in less than an hour. We're continuing to learn from this pilot and may expand the test to other cities. So overall, Q3 was a great quarter for the eBay Marketplaces, and it continues with strong momentum. We believe this business is well positioned to continue delivering strong, steady growth. Now let me briefly share some Q3 highlights from GSI. GSI had another strong quarter, driving a 19% increase in same-store sales for its clients, once again outpacing ecommerce. This business continues to execute well, and we continue to make good progress in capturing synergies across our portfolio to help large retailers. So in summary, our core -- our company had a strong third quarter. We're enabling commerce for retailers, brands and sellers of all sizes, and we're enabling consumers to shop anytime, anywhere in a seamless multichannel commerce environment. This is a period of rapid change and technology-driven innovation in commerce. And with our mobile leadership, our global commerce platforms, our strong brands and enhanced portfolio capabilities, we will continue to lead and shape the future of commerce. We have strong momentum in our core businesses, and we're laying the foundation for more expansive longer-term growth opportunities. I feel very good about our performance, our progress and our future. Now I'll turn it over to Bob, who'll provide more details on Q3 and our outlook for Q4 in the full year.
Robert H. Swan: Thanks, John. During my discussion, I'll reference our earnings slide presentation that accompanies the webcast. Q3 was a great quarter for the company. Revenue increased 15%, non-GAAP EPS increased 14%, and user growth accelerated at both PayPal and Marketplaces. We feel very good about our portfolio and our capabilities. PayPal continues its strong growth while innovating on the next generation of payment capabilities. Marketplaces continues to get stronger, and GSI continues to help large retailers and brands succeed in a multichannel world. From a capital allocation standpoint, we generated $792 million of free cash flow, where we purchased approximately 1 million shares of common stock and issued $3 billion in long-term debt at very attractive rates. We feel confident about our performance and are raising guidance for the full year. In Q3, our combined businesses generated net revenues of $3.4 billion, up 15%. Organic revenue growth was 18%, as foreign currency movements decreased growth by roughly 2.5 points. Third quarter non-GAAP EPS was $0.55, a 14% increase year-over-year. Strong top line growth and good operating leverage drove our outperformance relative to guidance. Non-GAAP operating margin was 26.3%, up 100 basis points from the third quarter of 2011 as segment margins increased across all 3 business units. We generated free cash flow of $792 million in the quarter. CapEx was 11% of revenues due primarily to investments in search, data and site operations. We continue to expect full year CapEx in the range of 8% to 10% of revenue. Now let's take a closer look at our segment results. PayPal had a strong quarter. Revenue reached $1.4 billion, and total payment volume increased to $35.2 billion, up 24% and 23% respectively on an FX-neutral basis. We continue to expand our global footprint with international TPV increasing 22% and comprising 47% of overall TPV in the quarter. A few quick highlights on PayPal operational metrics. Active accounts growth accelerated 1 point to 14%. On eBay TPV grew 18% on an FX-neutral basis, driven by strong eBay non-vehicles GMV growth and a 350-basis-point increase in PayPal penetration. Merchant Services TPV grew 26% on an FX-neutral basis. This growth was driven by continued expansion of PayPal on merchant sites around the world and an increase in share of checkout. Transaction margin was 64.8% in Q3, up 330 basis points. The increase was mainly driven by a higher take rate and lower transaction expense. PayPal's segment margins came in at 22.6% for the quarter, up 310 basis points from last year. The improvement was mainly due to transaction margin expansion. Let me touch on a few quick highlights for Bill Me Later. BML had a strong quarter and is becoming an increasingly important component of our portfolio. First, Bill Me Later has excellent standalone financials with TPV at $775 million, up 37%, and risk-adjusted margin of 16.5%. Second, Bill Me Later is increasing penetration as a funding source in the PayPal wallet at 1.3% share on Merchant Services and 3.7% on eBay. This penetration improves PayPal's funding mix and helps to reduce overall funding cost. And third, we continue to finance the Bill Me Later loan receivable portfolio using offshore cash. This enables us to increase the return on an underutilized asset. Overall, Bill Me Later continues to perform extremely well. Now let's move to Marketplaces. Marketplaces had a strong quarter with net revenues of $1.8 billion, up 13% on an FX-neutral basis. This was driven by FX-neutral transaction revenue growth of 14% and marketing services revenue growth of 12% from our adjacent formats. A few quick highlights on Marketplaces operational metrics. Active user growth accelerated 2 points to 10%, driven by strong growth in the U.S., the U.K. and emerging markets. As John mentioned, this is the strongest growth rate since 2007. U.S. non-vehicles GMV accelerated 2 points to 16%, and international FX neutral non-vehicles GMV grew 15%. Volume growth was driven by improvements in the customer experience, increased mobile engagement and strong performance in the Clothing and Accessories and Tickets categories. Take rate, excluding vehicles and StubHub, was essentially flat versus last year. In Marketplaces, segment margin was 39% in the quarter, up 50 basis points, primarily due to operating leverage partially offset by investments in technology and marketing. Now let's turn to our newest business unit, GSI. GSI had a solid quarter and continues to execute in line with expectations while generating higher cost synergies than we expected. Revenue for Q3 was $226 million, up 12% driven by strong volume growth partially offset by the mix of merchant sales. Global ecommerce merchandise sales, or GMS, grew 19% on a same-store sales basis. GSI's profitability is improving as we capitalize on the cost synergies we laid out at the time of the acquisition, resulting in segment margins of 6.1% for the quarter, a 330-basis-point improvement from last year. A few quick highlights on the progress related to the integration of GSI. Today, we have 15 clients leveraging ebay.com as a distribution channel to expand their businesses domestically, and a few clients now using eBay to expand their global footprint outside the U.S. PayPal is increasingly becoming the way to pay on GSI clients. PayPal coverage is now more than 90% of GSI client volume, and share of checkout is 13%. Additionally, 37 GSI clients offer Bill Me Later and 3 clients are adopting PayPal's point-of-sale capabilities. Lastly, GSI is leveraging eBay Inc. technologies and innovation including RedLaser, eBay Now, the PayPal Media Network and Magento to build solutions for clients' needs. Turning to operating expenses. In Q3, operating expenses remained flat at 45% of revenue. Gains in operating leverage were reinvested back into investments in the brand experience and product and development innovation. We ended the quarter with cash, cash equivalents and non-equity investments of $10.8 billion, including approximately $3.6 billion in the U.S. We've improved our financial flexibility, funding 57% of the U.S. BML loan receivables portfolio with offshore cash in the quarter. We repurchased 1 million shares of our common stock for approximately $47 million, and for the full year, we have substantially completed our plan to buy back shares to offset dilution from employee stock-based compensation. Now let me turn to guidance. We feel great about the first 3 quarters of the year, and we are raising the full year guidance on both the top and bottom line. For the full year 2012, we are raising our revenue forecast to $13.95 billion to $14.1 billion, representing growth of 20% to 21% and increasing our non-GAAP EPS forecast to $2.32 to $2.35, representing growth of 14% to 16%. Let me provide a little more clarity on the guidance. First, we anticipate top line growth in the high teens in an okay holiday season and continue to expect mobile adoption to Web-enabled commerce. Second, our North America business is performing stronger than our expectations, and we continue to gain operating leverage on our cost base. Third, we continue to expect macro pressures from Europe, while cross-border trade has stabilized. And fourth, we continue to invest in marketing and technology and new growth opportunities such as emerging markets, offline and mobile. We are increasingly confident in our outlook for 2012 and our 2013 plans. In summary, we feel good about our performance, and we're excited by the opportunities that lie ahead. PayPal continues its strong growth with increasing focus on simplifying and improving the customer experience. Marketplaces is thriving, with strength across all geographies driven by improvements in buyer experience from our investments. And GSI is performing in line with our expectations as it continues to add to its client portfolio and help eBay deliver commerce solutions for large merchants, leveraging our portfolio of assets. We are investing in our business for the long term, and we are focused on delivering the next generation of global commerce and payments capabilities. And now, we'd be happy to answer your questions. Operator?
Operator: [Operator Instructions] And our first question comes from Heath Terry from Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: John, anything you can share in terms of what you've observed during testing or just even the very early days that would suggest what kind of impact we should expect from the site redesign, whether it's conversions, customer keep rate, average order size, that type of thing?
John J. Donahoe: Well, I think the -- Heath, I think the last set of changes that Devin and the team announced last week -- streamlined registration. Streamlined registration is one that, from the outset, tested positive, and I think is partly contributing to our increase in new user growth. And we'll continue to streamline registration to make it easier for a new user to sign up on eBay. On the other end of the spectrum, you had just what we internally call turbo checkout, which is a much improved checkout experience where it's now in essence 2-click checkout. And we've always had that on mobile and on the iPad, and now we've got it on the Web. And again, that's something that's just taking friction out of the shopping experience tested positively, and I think it's a positive enhancement. And then some of the in-line stuff, the improvement in search results, it's just a cleaner experience, each of the little component pieces have tested positively. And I think they're partly explaining why we're continuing to make progress in that business. Interestingly, the 2 areas that I'm frankly most excited about in the medium to longer term, neither are things you can particularly test. One is just the brand logo. The brand logo, I think, just communicates that new eBay is here, the eBay that's a fresh, clean, safe shopping experience. And we know that we're getting a lot of people that have tried eBay 5, 10 years ago that are coming back to eBay, and they like what they see. And I think this brand logo will be one of the things that attracts them in. And then the innovation, I think, is one of the most exciting ones is what we call the Feed, which is the ability on your home page to customize what is a wonderful personalized browse experience. And any of you that haven't tried it, I encourage you to go into the home page, sign up for the Feed, put in your interests, put in searches that you've done in the past. It'll pick up historical search of things you've bought, and you'll see eBay inventory coming in a very compelling user experience that I think is very entertaining and engaging. And certainly, our qualitative research say our customers love it. We haven't been able to test the incremental impact, but it's one we feel really good about. So overall, this business is continuing to get stronger. The product experience is continuing to get better.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: And just one more question. In the context of the product reorganization you mentioned, how should we think about the reports of headcount reductions at PayPal?
John J. Donahoe: Yes, the -- so PayPal, first of all, let's be clear. PayPal is a very strong franchise, strong business, strong opportunity. While that's true, we are absolutely committed to accelerating the pace of the innovation at PayPal. And since David's taking over, he's taking what is in essence 9 different product organizations across PayPal and streamlining and consolidating them into one global product organization. And PayPal employees know about that. We haven't finally landed on the impact of that. And once we do, we'll communicate that to the employees and elsewhere. But I think the 2 things I would say is, one, this is clearly not a case where we're trying to pursue any cost reduction or efficiency goals. This is 100% focused on streamlining and simplifying how we create and consistently deliver great products. And that's something we're committed to do, and I think you're going to see real strong evidence of PayPal doing that in the coming weeks and months.
Robert H. Swan: I think, John, the only thing I might add, Heath, is that we're working through things at this end. And I would say, we haven't announced anything yet externally. And when we get along to where we have something to announce as usual, we, in fact, will. It's probably worth just highlighting that I think as you're aware historically, when we have situations like this that we would characterize as one-time in nature that have an impact on the financials, our historical practice has been if it's material, and I would use material as roughly $10 million as a threshold, if it's above that, we usually put it in GAAP-only numbers. And if it's below that, we just absorb that in our non-GAAP results. So I just -- I should just tell you that just so you understand how we think about items that are one-time in nature over time so you have context.
Operator: Our next question comes from Sanjay Sakhrani from KBW.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: Specifically on PayPal, I was just wondering, I know it's kind of early, but how is the offline roll-out progressing? Are merchants receptive to wanting to take your brand at the point of sale? And maybe just some color there? And then secondarily on the Marketplaces business. I was just wondering how -- if there's any other initiatives that you guys are working on in terms of larger merchants and how those are progressing as well.
John J. Donahoe: Yes, sure, Sanjay. The -- on PayPal offline, again, this represents an enormous opportunity for our company, both PayPal and more broadly. We've gone from competing in a $500 billion ecommerce market to now a $10 -- or $10 trillion retail market, where half of that today is being Web-enabled. So there is strong interest from retailers of bringing PayPal to point of sale. And our approach has been what we outlined at the beginning of the year, which is to use this year to focus on merchant coverage. And so we started off with the large retailer direct integrations, like PayPal point of sale that launched at Home Depot initially and now is live in 10 retailers and over 7,000 locations in the U.S. And we've proven that, that can work with existing hardware, existing software. Then on the other end of the spectrum, with the very small merchants, we launched PayPal Here, and that will cover small merchants and individual businesspeople. And then the Discover deals are an important piece in the middle, because the Discover deal gives us coverage that's over 7,000 -- or sorry, 7 million locations. And so you see what we're trying to do, which is build merchant coverage or merchant ubiquity and position ourselves where PayPal will be very widely accepted going forward. Having focused on the merchant side of the equation, we're now focusing on the consumer side and beginning to run some small tests with different retailers, with merchant-specific balances and other things to try to create little pockets of consumer engagement. And that'll continue to be -- that'll be -- 2013 will be the year of test and learn with consumer experiences. So we're using a -- we're trying to not to come to a press release a week or some fancy flash-and-sizzle, but trying to build the fundamental so that we get a scalable business in PayPal offline. And as I've said before, if we get 1% of offline, that's another PayPal. So we're trying to build it in the way that achieves that. With respect to large retailers or large merchants on eBay, we're continuing to make progress. We're making good progress. Large retailers are looking for help to deal in this increasing multichannel environment, and they understand we're on their side. Our entire company is focused on helping those retailers grow their business. We're on their side. We don't compete with them. And so we're pleased with some progress, we're pleased with the progress we've made in a relatively short period of time. We've got retailers like Toys"R"Us, Best Buy, GMC, Sony, American Eagle, Macy's, Target, Walgreens using different products and capabilities we have. And that being said, I'd say we're only beginning to scratch the surface here. There is just so much more opportunity where we can leverage the capabilities we have to help these retailers compete and win in this commerce environment. So I'd still say it's early days, but the more we see it, the more opportunity we see to really partner with them to help them grow their business.
Robert H. Swan: John, the only thing I might add on the first question, on merchant receptivity that you highlighted on the last couple of calls and that may even be worth mentioning here is what the merchants -- this is an area in the offline world that we didn't start with in our strategic plan. And we were almost pulled in to it to a certain extent by large retailers. And in essence, what they're looking for were, as you might imagine, the basics. "Can you help us drive more traffic with your large user base and your technology?" Second, "Can you educate me more about consumers when they enter my offline store, so they -- we know that they're there and we can reach out to them?" Third, based on that, "Can we use your wallet and your functionality to help increase conversion when they're in the store?" Fourth, "Can you do it for a lower cost than I pay today?" And fifth, "Can you do it without cost -- where I don't have to invest a lot of capital?" So those are the kind of the -- where the merchants started. It's kind of the 5 things that they were thinking about and asking us if we could help them in solving those 5 key fundamental challenges that they were wrestling with. So that's kind of how we started this game. I think then John walked you through how we've been going at it and the progress that we've made.
Operator: Our next question comes from Ross Sandler from Deutsche Bank.
Ross Sandler - Deutsche Bank AG, Research Division: Just 2 quick questions. First, Bob, you characterized 4Q as kind of okay in the guidance, at least according to plan. Can you just elaborate what you guys are seeing thus far in 4Q across both U.S. and international? And then, John, one of the key marketplace initiatives is international expansion. You mentioned Brazil, Russia. Can you talk about the strategy to grow in those regions? Is it going to be one of kind of organic feet on the street? Or could you use some of the $4 billion offshore cash to kind of fast-track the agenda?
Robert H. Swan: Yes, Ross. First, on the Q4, maybe even if I could provide some context about trends we saw in the third quarter that influenced kind of how we're thinking about the fourth quarter. First, just macro, mobile adoption is -- continues to drive more Web-enabled commerce and ecommerce in particular. Therefore, what we're seeing throughout the course of this year is ecommerce growth rates accelerating. We only expect that to kind of continue into the fourth quarter. So in terms of secular trends, we're in a relatively good place. Secondly, things, Q2 to Q3 whether it was U.S. ecommerce growth rates, whether it was our global GMV, our TPV or our volume for GSI, we're essentially flat Q2 to Q3 at the macro level, a little bit underneath the covers as you saw strong North America and a little bit weaker Europe. And lastly, currencies on a year-over-year basis are back to neutrality, if you will, so our cross-border volume has stabilized. The last point I would make is July started strong, August was relatively weak and September ended reasonably strong. And I'd say those are all the dynamics that we've seen, we felt during the course of the third quarter and beginning here in the fourth quarter that informs our guidance, which, in essence, is roughly 17% organic growth rate, which is the middle of our range, in a holiday season with relatively tough comps with what I'd still characterize as some just macroeconomic unknowns, particularly in Europe. So those are all the things that are influencing us. But in the aggregate, strong organic top line growth in the fourth quarter, building on some of the momentum in the first 3 quarters of the year.
John J. Donahoe: And then, Ross, on international expansion, yes, We think this is a significant opportunity for our company. The fact is that there are going to be 2 billion new people who come to the Internet in the next 3 to 5 years, largely in BRIC and emerging markets. And many of those, well, the first ecommerce transaction they have, we hope to have be on eBay using PayPal. eBay's got a global brand name. Our new user growth in these markets is already high. And so we're -- and they're coming to the U.S. site or to the U.K. site or -- and so we're -- Devin's putting a big focus on cross-border business and making cross-border even more seamless for buyers in these markets and for sellers around the world. And so we think that offers a strong incremental growth opportunity, and that's our starting point. And then with respect to domestic, we're starting with PayPal. An example, we know in Brazil, PayPal is now available in domestic Brazil payments. And with our partnership with Vevo down there and the actions we're taking to penetrate merchants, the PayPal Brazilian business is growing very, very strongly. And we think that's a good starting point before we bring any domestic marketplace capabilities is to grow PayPal's domestic capability, and Brazil is a place where that's a real strong starting point. And we're in the process of filing for licenses in the other BRIC markets. So we can always use our balance sheet to accelerate progress, and we'll be thoughtful about doing that. But for now, our plan is to use cross-border and PayPal entry to -- as we penetrate some of the BRIC and emerging markets.
Operator: Our next question comes from Mark Mahaney from Citi.
Mark S. Mahaney - Citigroup Inc, Research Division: Just 2 quick questions, that global active user growth of 10% from Marketplaces, any color on whether those newer users have any different trends, spending trends, engagement activity trends than the users you've had -- new users you've brought on in the past? And then secondly, John, you've talked about same-day shipping and a move to next-day shipping. You're seeing it across the industry, Wal-Mart, Target, et cetera. When you talk about those top sellers accounting for 30% of your volume, how do you assess the ability of the eBay seller place to adapt and adjust to next-day, same-day shipping as that requirement rises over the next 2 or 3 years?
Robert H. Swan: Mark, let me -- I'll take the first, and then maybe hand the second one over to John. First, just in terms of context. I think as you know, active user growth for the last 24 months has been on a slow, steady, consistent climb of higher and higher growth from low single digits 2 years ago to 10% growth this quarter. So we feel great about its growth. Couple of dynamics. First, from a geographic standpoint, it's consistent across the globe. So in the Americas, in Europe and Asia, we're seeing kind of the same kind of trends as we've rolled out the series of changes that we did a couple years ago essentially across all markets, so it's across the globe. And secondly, it's both buyers and listers. So the ecosystem, the growth in both buyers and listers or sellers is a good sign for the underlying ecosystem. So those are kind of macro dynamics. In terms of maybe the 3 primary drivers, first, just a better experience. We have -- if I were to try to break down the components of enhancement, roughly half of it is from just a better experience, which includes both more engaged users but also disengaged that have reengaged over time. And that's somewhat of a function of the campaigning we began last year and this year to bring back old users to the site. The second maybe big bucket is just emerging markets. As John highlighted, as these markets grow and middle classes get bigger and they look for great product around the globe, they're increasingly coming to eBay, and we're benefiting from growth of users from emerging markets. And then the last thing is technology driven, and that's primary mobile. That 15 million users we've added over the last couple years, John mentioned 800,000 of them alone were from new mobile users in the quarter, and that's been roughly 3 million over that same time period. So we have good fundamental trends, better experience, emerging markets and technology or mobile that's driving more usage. And I'd say characteristics or demographics, more women, more new and now, and with mobile, a slightly younger demographic.
John J. Donahoe: And, Mark, the -- actually one of the thing I'd say on new users is while we're pleased with the acceleration, frankly, I'm not satisfied. I mean I look at this and say the number of Internet users globally is going to double in the next 3 to 5 years and there's no reason why our active users shouldn't double during that period. And that's clearly what we're striving toward. We're focusing on it, like we haven't focused on it in a few -- in several years. I got Devin and David both nodding their heads across the table. So it's an area where I think there's a lot of runway left for us. On shipping, Mark, the -- what our research says is consumers want choice and actually different -- a consumer, inside their wallet, sometimes they want same-day things, sometimes they want -- they're willing to wait some time. And so part of our approach has been to give them that choice. They want great deals. And then eBay sellers, what's happening is the categories where free shipping is necessary, they're providing free shipping. The categories where fast shipping is necessary, they're providing fast shipping. And the competition of a marketplace is forcing those sellers that are able to deliver that to do it. What's interesting on same-day delivery, which is getting a lot of attention now, our approach has been rather than try to do this ourselves, how do we partner with the retail industry to if see we can build that capability for consumers, whether they're buying on eBay or they're buying directly from the retailers. And that eBay Now is a nice example of how we're trying to leverage our mobile capabilities, our Milo capabilities, our PayPal Here capabilities to build a consumer experience that allows retailers to, in essence, provide same-day delivery. So we'll continue to try to develop solutions that give consumers choice.
Operator: Our next question comes from Brian Pitz from Jefferies.
Brian J. Pitz - Jefferies & Company, Inc., Research Division: John, maybe you could give us an update on what you expect in terms of marketplace growth over the next 3 to 5 years. Perhaps an update, should we assume that you could still grow at or above ecommerce industry growth? And then a little bit more detail perhaps on your marketing plan into Q4. Do you plan to decrease your keyword purchases, for instance, in light of more traditional marketing of the brand? We ask that because we've seen a decline in some of your PLA purchases in the recent quarter. Maybe if you could just comment on that.
John J. Donahoe: Sure, Brian. The marketplace, here's how I'm thinking about it, which is I think we have demonstrated that we can provide strong, sustainable growth roughly around ecommerce, and that we have a variety of things in our toolkit and our playbook to be able to continue to do that, whether it's improving search and the user experience, improving trust. All of the things that we've been focused on, we're continuing to drive innovation, and that's what's allowing us to grow at the growth rates we're growing at today. The dialogue we're now focusing on is how do we identify opportunities to grow over and above that. And Devin has really highlighted 3 major opportunities where he sees it. One, leveraging our data to provide a more personalized experience and to provide more merchandising on eBay, which we're just really getting started on. We didn't have a cart until this year, and the cart is a natural place to do merchandising. So leveraging our data. Two, what I described earlier, BRIC and emerging markets. A real focus there starting with cross-border and, over time, with domestic. And then three is the whole local opportunity, building that connection with local inventory, whether it's large retailers listing on eBay, whether it's using Milo and RedLaser to provide a multichannel shopping experience, whether it's things like eBay Now. So those are things that we think can help drive incremental growth on eBay, and we're as bullish and optimistic as we've been certainly since any time I've been here on the potential of the eBay business. And then in our Q4 marketing spend, we anticipate spending roughly the same amount we spent last year, the same magnitude, and we're always optimizing within that. And we don't break out how much brand versus Google versus other. We basically are constantly optimizing. And I think the integrated marketing campaign with the tag line, "From the new to the hard to find, when it's on your mind, it's on eBay," is -- will serve us well in this fourth quarter. And so we're excited about our holiday plans.
Robert H. Swan: Brian, the only thing I would add is on the marketing spend. I think about it as the same. We will spend more in fourth quarter of 2012 than we did in 2011. And John's comment was about, relatively speaking, no dramatic change...
John J. Donahoe: Yes, same proportion.
Robert H. Swan: Relative to the percent of overall revenue.
Operator: Our next question comes from Scott Devitt from Morgan Stanley.
Scott W. Devitt - Morgan Stanley, Research Division: Just wondering if you could follow up on the strong Marketplaces' active user growth that you commented on earlier on the call? Just interested in what your views are on the possibility that sold item growth could accelerate further as new users actually regain trust in the brand and drive purchase frequency among that new customer cohort. And then secondly, on BML. The ramp in share in the U.S. addressable GMV is impressive. And I was wondering if you could just talk about the ability to extend the On eBay penetration to Merchant Services over time, and also the opportunity for BML in Europe.
Robert H. Swan: Yes, Scott. On the new users on eBay, the -- often new users do start with lower ASP items. I mean that's always been true on eBay. Items of first purchase can be music and video, can be consumer electronics, accessories, can be fashion. We have tremendous fashion growth in what we call fashion, clothing, shoes and accessories. But what we're finding is that they pretty quickly get to average ASPs. And so I -- sold item growth is, I think, it was 19% this quarter, so it's running a little bit ahead of GMV. But I envision this new entry of new buyers to, yes, help sold item growth. But over time, I think sold item and GMV growth will be fairly consistent. What we know is that they like what they're finding. I mean what we're really tracking is for the new buyers, do they buy a second time, a third time and a fourth time? And we're finding nice, we call them class curves. Our class curves are looking attractive in that sense. So our buyers -- the new buyers are turning into more frequent buyers.
Robert H. Swan: And, Scott, on your second question, yes, on Bill Me Later growth, clearly we are getting higher penetration of Bill Me Later on eBay. And honestly, that's because we can do more because we control the experience. We can do more trial with Bill Me Later on eBay. We definitely believe that over time, Bill Me Later will continue to increase penetration on eBay, and everything we learn from those experiences, we do package to bring to our other off-eBay merchants. So you get tied to that same penetration rate on Merchant Services that we do on eBay. So that is clearly what our intentions are, and some of the trial and learn we do on the eBay, we can kind of transfer to other merchants. In terms of taking Bill Me Later global or to Europe in particular, clearly, we think we have something special. We think the decision engine that we have today here domestically is very powerful. It relies on a series of external data feeds where we can make decisions in split seconds about the credit worthiness of an individual. Those feeds don't exist in all markets, so the concept is very transferable. We have to test and learn on feeds before we expand in other markets. But I think you can assume over time that our expectation is we will figure it out, and Bill Me Later will become not just a success here in North America but in Europe as well.
Operator: Our next question comes from Colin Sebastian from Robert Baird.
Colin A. Sebastian - Robert W. Baird & Co. Incorporated, Research Division: A little follow-up, if I can. First, on the PayPal in-store trials. Curious if you're seeing any consumer preferences emerging in the tests in terms of how they're using PayPal between the card and the PIN, for example, and whether there's a difference in the funding mix compared to online transactions? And then secondly, now that the front-end upgrade is deployed, can you review again some of the specifics on the back-end technology upgrade such as Cassini, when we should expect the bulk of those to roll out?
John J. Donahoe: Yes, Colin. On the in-store PayPal, about roughly 70% of it has been mobile number and PIN, which is just of the -- which is, I think, frankly what we thought it would be. It's just such a easy, simple way to pay. And some of the promotions that are gaining a little bit of -- little pockets of traction, we're still testing in micro-pockets with the retailers is we would call merchant-specific balances, which is the merchants offering a balance if they pay with PayPal. And if it gets them engaged and gets the consumer to come in and say, "How can I pay with PayPal?" and mobile number and PIN is often how they're paying. And no, I don't think there's anything material in the funding mix, yes.
Robert H. Swan: No, it's primarily whatever their default funding source is in the online world is not dramatically different than what we've experienced in the offline world.
John J. Donahoe: And then with Cassini, I would just put this in the bucket of the things that will continue to drive sustainable market rates of growth for the Marketplace business. And Cassini will roll out gradually over the coming 12 to 15 months. And it's frankly, it's already running in certain areas and certain parts of the site. And we'll just continue to roll it out wherever it tests positive, and we'll aggregate it over the week. The first customers -- this week is the first time we're putting any reasonable portion of customer-facing volume against it, and it's doing well. So I put that into the bucket of a series of technology and product continuous improvement that we'll be making over the next year or 2 years.
Operator: Our next question comes from Douglas Anmuth from JPMorgan.
Douglas Anmuth - JP Morgan Chase & Co, Research Division: Just wanted to ask 2 things. First, just on PayPal. The margins were up 300 basis points year-over-year and then down about 300 Q-to-Q. Just hoping you could help us understand some of the dynamics here, I guess in particular the Q-to-Q. How much is tied to seasonality and then perhaps hedging as well? And then just quickly on the Marketplaces side. You're obviously pretty excited about the site redesign. Is there any risk of unintended consequences here as you're making these changes fairly close to the holiday season?
Robert H. Swan: I'll handle the margin question, Doug. So yes, the short answer is seasonal, and the underlying dynamics are really twofold. One is, seasonally, our Q2 take rate, primarily because the adoption of the PayPal private label card is in essence monetized in Q2. So we always have a higher take rate in Q2 than we do rest of year. And the other seasonal dynamic is we just -- we broke off during the course of the year in preparation for the fourth quarter holiday season. So those 2 seasonal dynamics result in a degradation of margins Q2 to Q3, and that's pretty -- been pretty consistent. I would say that on a year-over-year basis, though, Q1, Q2, Q3, we've seen the 300-basis-point improvement year-on-year. And right now, through the first 9 months, segment margins are roughly 25%, which is at the low end of what we said we'd be able to do next year. So we feel very good about the margin expansion that we've experienced in the PayPal business.
John J. Donahoe: And, Doug, just risk or unanticipated impact of the stuff we announced last week, as I said earlier, all of it that's in the flow is tested. And so we're not implementing anything that hasn't been tested well, and we certainly aren't going to be putting things in -- close to the holiday that we think a big risk. In fact, if anything, I think we're feeling better going into this holiday than we have in a while. I mean I feel like the user experience, the growing new users, as well as existing users, the marketing campaign. So we can't predict what the macroeconomic set of circumstances is going to be this holiday in the U.S. and particularly in Europe. But we feel very good about the business momentum we're carrying into the fourth quarter. So we will look forward to reporting on that and seeing all of you in 90 days. Thank you.
Robert H. Swan: Thank you.
Tom Hudson: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect and have a wonderful day.